Operator: Good morning and welcome to First National's Second Quarter Analyst Conference Call. This call is being recorded on Wednesday, July 31, 2024. At this time, all callers are in a listen-only mode. Later we will conduct a question-and-answer session. Instructions will be provided at that time on how to queue up. Now, it's my pleasure to turn the call over to Jason Ellis, President and Chief Executive Officer of First National. Please go ahead, sir.
Jason Ellis: Thank you, good morning and welcome to our call and thank you for participating. Rob Inglis, our Chief Financial Officer, joins me and will provide his commentary shortly. I remind you that our remarks and answers may contain forward-looking information about future events or the company's future performance. This information is subject to risk and uncertainties and should be considered in conjunction with the risk factors detailed in our management's discussion and analysis. Second quarter results were consistent with our expectations. Pre-fair market value income of $77.5 million was 14% below last year, reflecting lower residential originations and our decision to invest more heavily in direct securitization programs, which had the effect of deferring revenue to future periods. As indicated on our last call, single family originations were projected to be lower than the second quarter of 2023, and they were by 17% to $6.1 billion. Our projection was based on commitments entering Q2 and a change in the competitive dynamic in the broker channel. Generally speaking, about nine months ago, one of the large bank lenders in the mortgage broker channel took competitive actions to recapture its leading position, which it had surrendered in 2023 in a deliberate step back from the market. The bank's return meant market share positions reverted to more traditional levels for other participating lenders, including First National. All else being equal, however, First National has retained its relative position in the channel. The housing market has remained relatively stable, all things considered, but activity this quarter did not equal last year's levels, an outcome noted by the Canadian Real Estate Association in its recent monthly report. You may recall that Q2 of 2023 was the quarter when we saw surprisingly strong originations, as borrowers anticipated a reversal in monetary policy combined with a temporary reduction in rates in response to regional banking volatility in the US. Ultimately, however, action by the bank of Canada in June and July of 2023 to increase rates reduced application activity in subsequent quarters. The bank's first rate cut did finally come in June of this year, but it did not have a meaningful impact on originations during the second quarter. However, when combined with the second cut on July 24, we may see some increased activity in the second half of the year. On the Alt-A side, our Excalibur volumes were lower by a similar magnitude as our prime products, a not surprising outcome as the relatively higher rates have made it even more difficult for borrowers to qualify in the non prime space. However, we are pleased with the contribution of that product line to our portfolio and to the diversification of our revenue. The diversification comment also applies to our third party underwriting business, which generates revenues independent of First National's own originations. As you know, we added another large Canadian bank as a business process outsourcing customer in January, and we're pleased with the progress in establishing a growing underwriting and fulfillment platform for them in the broker channel. In our commercial mortgage business, originations, including renewals, were up 35% from last year to $5 billion. This reflected continued growth in demand for insured multifamily financing. Moving on from origination to servicing, we're pleased to note that mortgages under administration grew 8% year-over-year to another new record level of $148.2 billion. The key to maintaining predictable and recurring revenue is the continued growth of mortgages under administration, even during periods of reduced originations. As you would expect, the incentive to refinance mid-term disappeared, with higher interest rates leading to more mortgages reaching maturity and by extension, more renewal opportunities. This has been an important contributor to maintaining mortgages under administration over the past year. Moving to our short-term outlook for the first time this year, new single family commitments in July were higher than the same month a year ago. It's too early to call this a trend, but we are cautiously optimistic that this is the case. Nonetheless, our official position is to expect single family funding to be lower in the third quarter than last year's $8.3 billion based on the existing pipeline. For commercial mortgages, we expect origination volumes to surpass last year's Q3 production of $3.3 billion. This is also based on existing commitments to fund mortgages for multi-unit properties and the continued presence of constructive CMHC programs. In June, CMHC made refinements to some of those programs, which caused an increase in application volumes along with the recent increase in funding available from the Canada Mortgage Bond Program, removal of GST for new construction, there is support for ongoing activity even in the face of today's interest rates. While these tailwinds have fostered more competition for the multi-unit space -- pardon me, these headwinds have fostered competition for the multi-unit space and a related impact on available spreads, First National remains a profitable market leader in this market. To finish my outlook, a few comments on credit. First National borrowers continue to hold up well against the stress of today's interest rates. 90 day arrears represent just 8 basis points of our prime book compared to 7 basis points at the end of March and 5 basis points a year ago. The historical tendency toward five year mortgage terms has certainly served our prime borrowers well. Notably, they will have had the benefit of five years of household income growth when the time comes to renew. This is generally not true of Alt-A borrowers, where mortgages more typically have one and two year terms. This accelerated path into higher rate environments is the likely explanation as to why Excalibur arrears rates are higher than for our prime book. However, with a stable housing market and our concentration in liquid urban centers, there were virtually no realized loan losses in the quarter. Even so, as a prudent lender, First National continued to accumulate provisions for credit losses which we have not released into income at this stage. To summarize, the second quarter featured solid growth in MUA and profitability in line with our expectations, even as we invested more heavily in direct securitization programs. With a strong, diversified and recurring foundation of revenue and a resilient business model providing long-term stability to our financial results, we look forward to delivering for our shareholders going forward. Rob, over to you.
Rob Inglis: Thanks Jason and good morning everyone. MUA grew 9% on an annualized basis during the 2024 second quarter to a record $148.2 billion. That growth rate is similar to the MUA growth we saw in the third and fourth quarters of last year and is well ahead of this year's first quarter. Given the importance of MUA to franchise value, close to double-digit growth is clearly good news. It also bears noting that while residential originations were down 17% year-over-year, they were up 74% on a sequential basis compared to Q1. Our team continues to work hard to serve brokers and customers and benefited from the spring housing market opportunity. MUA growth was supported by strong commercial originations and mortgages staying on our books longer due to slower prepayment rates and good renewal retention. Turning now to second quarter revenues, mortgage servicing income was flat year-over-year at 70.1 million. Here, administration revenue from higher MUA was almost fully offset by lower third party underwriting revenues. Net interest income on mortgages pledged under securitization increased 4% over last year to 53.7 million. This reflected growth of 10% in the multi unit residential portfolio and 8% in single family programs. By segment, NIM was higher by 2.6 million in commercial on 10% growth in the portfolio and success with our insured construction mortgage program. In the single family residential NIM was lower by about $400,000 because of tighter spreads, partly attributable to narrow margins at origination and partly due to how we account for hedge gains and losses incurred during the pre-approval and commitment status of origination. For context, over the past three years, net hedge gains realized against commitments was about $88 million, with the result of narrow securitized NIMs upon securitization. While the securitized portfolio benefited from wider mortgage spreads originated during the start of the pandemic when bond rates plummeted, these mortgages have amortized lower while the new origination has been securitized. Investment income increased 18% year-over-year to 35.7 million due to our decision to increase our own securitization activities, which led to an increase in warehouse mortgages and more mortgage interest earned between funding and securitization. Placement fee revenue declined 32% year-over-year to 45.3 million on a 14% reduction in placement activity and a relative increase in renewed mortgages and commercial mortgages, which attract lower per unit fees than new residential mortgages. Per unit placement fees were also lower than last year for single family as borrowers opted for shorter mortgage terms. Gains on deferred placement fees were 4.6 million, 30% below the last year, reflecting narrow margins on multis originated and sold to institutional investors. During the second quarter, we incurred $4 million of losses on financial instruments used to economically hedged residential mortgage commitments compared to gains of $31.7 million last year. Excluding these fair value based revenues, net revenue was 209 million compared to 225 million in Q2 last year. Moving now to our costs, broker fee expense in the quarter declined 63%, or 25.1 million from last year, on a 61% decrease in single family origination placed with institutional customers. Salaries and benefits increased -- expense increased 19%, or 9.3 million year-over-year. A sizable portion of this increase was due to incentive driven commercial underwriting compensation paid because of the much higher production. As Jason noted, we securitized more commercial mortgages this year than last, which means we deferred significant revenue with this new production. While that timing mismatch penalized second quarter performance, it will benefit the company down the line. Excluding incentive driven expenses, salary expenses increased 8% year-over-year, reflecting a standard merit increase which began in Q1 plus headcount growth of 9%. That growth relates probably to ramping up of our new third-party underwriting and customer platform in preparation for growing volumes. This, as well as a decrease in single family origination, resulted in lower operational leverage. While we are careful in managing expenses, we are prepared to make investments in First National's future, including infrastructure and capabilities, to handle larger volumes. Taking all this into account Q2 Pre-fair market value income, our core measure of profitability, decreased 14% year-over-year. During the quarter, First National paid common share dividends at an annualized rate of $2.45, reflecting the last increase, which began in December. The common share payout ratio was 69%. If gains and losses on financial instruments are excluded, this ratio was 66%. This compares to 55% in the second quarter a year ago. In closing, the second quarter played out as we expected. We are cautiously optimistic about origination volumes in Q3 and confident that the record value of MUA will continue to drive revenues in support of ongoing profitability. Now we'll be pleased to answer your questions. Operator, please open the lines. Thank you.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Nik Priebe with CIBC Capital. Please go ahead.
Nik Priebe: Yeah, thanks. I just wanted to ask a few questions about the evolving interest rate regime. If I recall, I think you've made a comment in the past about how the adjustable rate component of the securitization portfolio can experience a bit of a gapping of the spread when rates are moving because prime rates tend to lag the cost of funds. So I guess just in the context of the latest interest rate decision, can you just refresh us on that dynamic and which rate is most relevant to track for the cost of funds?
Jason Ellis: Yes, so historically, our adjustable rate NHA-MBS pools had coupons that were based on CDOR. CDOR was set at the beginning of the month and often reflected, did reflect expectations for the market for the coming month. And so when rates were moving higher back during that part of the cycle, we would often be setting the coupon on our NHA-MBS pools at a CDOR rate that was elevated relative to the prime rate because the prime rate doesn't change until the bank of Canada actually moves and the practice at First National is to adjust the borrower's mortgage coupon at the beginning of the month following the rate change. And so what we experienced during the tightening cycle was a generally narrower NIM on the adjustable rate portfolio because of that dynamic. Now, all else being equal, the reverse should be true as we move through this loosening cycle. If CDOR still existed during months where the bank of Canada was meeting, CDOR would typically have set low relative to prime in anticipation of a potential bank cut. I think that impact will be slightly moderated, though, because now quora is the basis of the coupon and one month quora is set at the end of the month, looking back as an average of all of the overnight quora settings. So the long answer is, it should still -- it should be a little bit of an advantage, but not as much of an advantage as the disadvantage was during the era that CDOR existed. I hope that makes sense, Nik.
Nik Priebe: Got it. Yeah. No, that's interesting. I guess when we step back on the theme of lower interest rates, I'm just wondering how you'd characterize the impact of declining policy rates to First National, overall. It seems like there are a number of puts and takes like on the one hand, lower rates could stimulate housing demand. It could have favorable implications for per unit placement fees, but then on the other, you earn less interest on escrow deposits, it could also increase prepayment rates, which might flatten the growth trajectory. So it's never been clear to me whether declining rates is a positive or negative overall. So what's the view on that internally? Is that something that you would cheer, or is it just viewed as a source of noise in your results, as we transition to a new interest rate regime?
Jason Ellis: I would say it's probably fair to say that Rob and I also sometimes wonder as to whether or not higher or lower rates are better for us. The truth of the matter is there are a number of offsetting factors. Probably one of the most significant ones you noted is the interest we earn on the principal and interest and tax escrows held over the course of a month. Obviously in the higher rate environment, we've benefited from that. But there are so many ins and outs that it's difficult to say with any precision whether one is definitely better than the other. Maybe we'll think about that a little bit and see how that balances out.
Nik Priebe: Yeah, fair enough. Okay, I'll pass the line. Thanks for taking my questions.
Operator: And your next question comes from the line of Etienne Ricard with BMO Capital Markets. Please go ahead.
Etienne Ricard: Thank you and good morning. On the competitive environment for single family mortgages, what do you think needs to happen for spreads and pricing to normalize? In other words, do we need to see a broader pickup in housing market transaction activity and volumes?
Jason Ellis: I'd say that while the spreads we're observing at origination on residential mortgages right now are under some pressure, probably the most significant source of that pressure has been in some of the additional incentives being paid to mortgage brokers as lenders, I think, were competing for a smaller overall market. I also know that one of the bank lenders in the channel may have been at the margin more aggressive than typical as it fought its way back to its traditional position within the channel after having stepped back last year. I think that some of that will be moderating, and so I also reflect back on our comparables. So Q2 this year was a difficult comparison to Q2 last year, not just on spreads, but also on volumes because, as I mentioned in the prepared comments, the borrower psychology was different, there was a temporary reduction in rates due to what was going on in the US and with Credit Suisse. But also admittedly in Q2 of last year, a significant competitor was absent from the market and so that, I think, made our Q2-over-Q2 a difficult comparison. As far as rates and spreads go, I think as that significant lender comfortably reestablishes itself in the channel, hopefully there'll be an opportunity for overall pricing in the market to sort of mean revert. But I mean, they're not as special -- they're not terrible right now, it's just at the margin competing for certain products has been difficult when some lenders have been especially aggressive at moments. Bit of a roundabout answer, but maybe help me out if I didn't quite hit it for you.
Etienne Ricard: Oh, that's great. I appreciate the details. I also wanted to ask you, on placement fees per unit, you raised three dynamics in the Q2 report, new versus renewals, single family versus commercial, and lastly, short versus longer term mortgages. So could you please remind us of how placement fees per unit compare across those three categories? Thank you.
Jason Ellis: Right. Well, generally speaking, if we're talking about a residential mortgage, they would carry a higher initial placement fee when duly originated and placed with a third party investor. Upon renewal, the general contractual terms would be that the borrower, or that is to say, the investor and First National as originator, will share in the opportunity of renewing the mortgage without the related broker fee, which means the renewal fee paid to First National is less than the origination they pay upfront. It depends on the arrangement, it depends on volumes, but it may be in a magnitude of two to one when you think about new origination, placement fee versus renewal placement fee. As it relates to term, the placement fees probably tend to fall in a manner similar to the way the fees fall that a mortgage broker receives in the mortgage broker channel. The standard fee, including volume, bonusing and the like, for a five year term tends to be in the context of 100 basis points or 105 basis points, and that falls as you move down to shorter terms. For similar economic reasons, investors will pay less for a shorter duration mortgage. So I would say for a three year mortgage, you may only see two thirds of the placement fees you might see for a five year mortgage, more or less. And then the commercial mortgages, we tend to be dealing in narrower spreads overall, a little bit more volatile than the residential placement fees. So I would say commercial placement fees are lower than residential placement fees, but the magnitude by which they are so depends on what's going on in the market.
Etienne Ricard: Very helpful.
Jason Ellis: Because the commercial placement fees are variable, a little bit more variable, the residential placement fees tend to be a fixed sort of set amount.
Etienne Ricard: Great. Thank you very much.
Jason Ellis: You're welcome.
Operator: And your next question comes from the line of Graham Ryding with TD Securities. Please go ahead.
Graham Ryding : Good morning. Can you just give us, do you have any visibility on your securitization NIM? It sounds like spreads are remaining tight and sort of weighing on your NIM currently. Are you expecting that to continue to feed into NIM over time? And should we expect sort of some sort of decline, or is this level potentially sustainable?
Jason Ellis: Yeah. So I do note that this is, I think, our second or possibly third consecutive quarter where we've had a sequential reduction in quarterly NIM on an annualized basis. There's a lot going on in that portfolio, but I would say I can point to the residential NHA-MBS portfolio as the driver of that sequential reduction. And two things are happening there. One is just absolute spreads at the time of origination are a little bit narrower. But the other thing that's happening is a function of how we account for hedge gains and losses that are incurred during the commitment period on the residential mortgage. Because those don't qualify for hedge accounting, as you understand, we recognize them in the period in which they're recognized, the result of that is that we'll have a large hedge gain, as we have done in recent years, and recognize it in the current period because rates have gone up during the commitment period, which means when we get to the funded portion of the mortgage and we issue the securitization, you're issuing it into a higher rate market and therefore at a lower average NIM. So what we're seeing right now is a dynamic where some of the older pools that were issued back in the beginning of the pandemic, where you had very, very large loan or hedge losses and very large NIMs on securitization, those are starting to amortize and prepay away and are being replaced by pools that had hedge gains during commitments and then, as a result, relatively narrower NIMs. And so I think there may be some continued sequential reduction in the overall NIM as a function of that dynamic. It's very difficult to predict with any great precision. Overall, though, it's a $42 billion portfolio. So the changes to the extent they are coming, should come in gradually. There shouldn't be any shocks to NIM going forward.
Graham Ryding : Okay, understood. So it sounds like, on the one hand, those upfront gains or losses you're adjusting out of your pre-fair market value income.
Jason Ellis: Yeah.
Graham Ryding : And you're not adjusting it out of your NIM. It's economically neutral, but over time, your NIM is going to be impacted by those gains or losses, but that's not adjusted.
Jason Ellis: Yeah, we're a victim of an imperfect accounting regime. Certainly, hedge gains and losses continue to accrue after a mortgage is funded and prior to it being securitized. Those gains and losses do get capitalized into the net interest margin and are amortized over time but it is just a timing imperfection and an accounting imperfection that sort of creates this dynamic. And certainly some of the biggest hedge losses we saw were in the first part of 2020, as we entered into the pandemic and rates came up quickly. And those are some of the widest sort of securitized NIMs on the book. So those will be running off over the next couple of years.
Graham Ryding : Yeah. Okay, understood. Can you remind us what your total securitization funding capacity is on an annual basis because I think you securitized about 7.5 billion year-to-date? I'm just wondering if that level is sustainable or should we expect utilization of placement funding to be a little bit higher in the second half?
Jason Ellis: Yeah, I mean, I would be hopeful -- I would expect that over time, placement funding would gravitate towards its longer term average but we do have significant access to securitization and the runway we're on now is sustainable.
Graham Ryding : Okay. So you could do 15 billion on an annualized basis, is that correct? I think you've done [Multiple Speakers]
Jason Ellis: Yeah, so I would say a portion of it is obvious -- yeah, we probably issue in the context of $11 billion or $12 billion of NHA-MBS, and that is sort of a renewable resource every year, assuming CMHC's programs are unchanged. the additional amounts are related to asset backed commercial paper, which are less renewable, in the sense that once you've filled up those conduits, access to additional credit limits becomes increasingly difficult. That said, we have been increasing our conduit capacity over the course of the year, and we certainly have sufficient runway for the foreseeable future.
Graham Ryding : Okay. And then maybe one more, if I could be a bit greedy, just big picture. It looks like your earnings are -- year-to-date, they're down versus last year. I think it's because of the tighter spreads that's probably weighing on your replacement fees and maybe your securitization income. So if we look into 2025, we make the assumption that activities probably better next year with a lower rate environment. Can you get back to sort of 2023 level of earnings if spreads remain at current levels, or do you need to see spreads improve to get back to a higher earnings level?
Jason Ellis: Well, I think one of the bigger drivers is just -- yeah, isn't so much -- I think one of the bigger drivers is really just origination volumes. So one of the big things that made the first half, and especially the second quarter of last year so strong was the dynamic in the single family market at the time, so volumes were extraordinary. In fact, I think it might have been our largest quarter of fundings in history for First National. And like I mentioned in one of the earlier questions, aside from the things that were going on in the market, the absence of a key competitor in the broker channel as a lender helped us have that record quarter were now back to sort of a stabilized, more normalized market share, as are all of the other lenders in the channel and I think that it would be difficult to replicate that kind of a Q2 result, given that. But I think origination volumes can definitely bounce from where they are but I think that's going to be a strong driver. Obviously, spreads and NIM are key but I don't see NIMs, based on the comments I made on the previous question, all else being equal, going higher from here. So, there'll be some headwinds, I guess, to challenging that kind of 2023 result.
Graham Ryding : Okay, that's helpful. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Jaeme Gloyn with National Bank Financial. Please go ahead.
Jaeme Gloyn: Thank you. Good morning. First question just on the commentary, Jason, you provided about commitments in July higher than a year ago. That's a positive sign, I guess, for the back end of Q3. Can you give us some similar color in terms of how that looked, I guess, in May and June and maybe add a little magnitude around the comparison versus a year ago?
Jason Ellis: Well, I guess I'd say that year-to-date, as we mentioned, residential was down 17% year-over-year and I would suggest that the July commitments that we've seen are by that at least that order of magnitude higher than last year. So it's been quite a swing. Another constructive sign that I have observed is that First National share of the mortgage commitments being submitted by the brokers as reported by two of the largest broker delivery platforms, our share in Q2 grew sequentially over Q1. Now the absolute number of commitments in Q2 was lower than Q2 of last year, but sequentially it looks like we grew a little bit in terms of our share. And then that combined with the nice result from July does lend some confidence to a better comparison year-over-year, as we head into the second half. Recall, of course, too, that this significant lender in the broker channel that had stepped out started to really reappear in the second half of last year, so another reason why our year-over-year comparables will start to look more normalized because this sort of in and out dynamic will have faded away.
Jaeme Gloyn: Understood. In terms of the mortgages under administration, growth is still pretty strong, but what I noticed in the quarter, and I guess it's both on residential and commercial is that the, I'll call it the runoff rate picked up in Q2 versus previous quarters and even versus last year in Q2. Is that a reflection of that increased competition? Like, would you say your retention rates have suffered as a result of this competition? And is that something we would expect to see continue at a, let's say, a more elevated level than recent years?
Jason Ellis: No, our retention -- I would say that our retention rates aren't at their highest levels that we've ever seen. It's actually a focus for us to make sure we're capitalizing on renewals as best as we can. But there is a factor that I think probably explains the relative runoff rate, and that is one of our third-party servicing contracts expired, I guess, a year ago now and with that the legacy portfolio has been running off, and so that has probably affected that kind of runoff rate observation. So that's to do not with First National's own principal mortgages under administration, but a legacy portfolio of mortgages serviced for a third party, and that will persist, persist for another couple of -- that dynamic will persist probably for another couple of quarters.
Jaeme Gloyn: Okay, got it. So you would have two main third party servicing relationships now as opposed to three.
Jason Ellis: Well there's a whole series of them, but in terms of significant ones, I would say it's in the context of that, yes.
Jaeme Gloyn: Okay. Okay, got it. Just in terms of placement fees and in that discussion, of course, like the mix shifts that you talked about from three factors having an impact there, it's also having, let's say, an equal impact of brokerage fees. But if I look at it on a net placement fee margin basis, so what you're earning from the revenue side less the brokerage fee expense, it's obviously, it's been fairly strong in the last few quarters relative to years, let's say, even before COVID and I guess commercial mix has something to do with that. But is this a level -- if I'm looking at it that way, first question I guess is, is this something that you look at internally? And then I guess is this a level that is maybe, let's say, over earning from that perspective?
Jason Ellis: I don't think that we would necessarily track placement revenue versus broker expense. We do look at, in absolute terms, what we are paying to the brokers and we're mindful of being competitive. Though I don't prefer the term, we're largely a mono line and it's important for us to remain competitive and at the leading edge of compensation structures being offered to the brokers. But I would say things feel as close to normal now as they have done. I mean, Rob, would you have a counter to that?
Rob Inglis: Well, I mean, commercial really has very few broker fees. So if the placement fees from the commercial segment go up, you're going to see a big change in that ratio and same thing with renewals, renewals as well. The more we have placement fees that relate to renewals, there's no broker fee attached to that. So in this period, new placement was lower, commercial was higher, renewals I think was higher as well, so that the ratio gets kind of skewed. And if things change and the new residential origination gets placed, you'll see it revert more to the mean average, I think.
Jaeme Gloyn: Okay, understood. That's it for now. Thank you.
Operator: Thank you. And Mr. Ellis, there are no other questions at this time, back to you for closing comments.
Jason Ellis: Okay, thank you, operator. We look forward to reporting our third quarter results in October. Thank you for participating and have a great day.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.